Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Vince Fourth Quarter 2023 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference call over to our host, Caitlin Churchill, Investor Relations. Please go ahead. 
Caitlin Churchill: Thank you, and good morning, everyone. Welcome to Vince Holding Corp.'s Fourth Quarter Fiscal 2023 Results Conference Call. Hosting the call today are Dave Stefko, Interim Chief Executive Officer; and John Szczepanski, Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that the company expects.
 Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. 
 In addition, in today's discussion, the company is presenting its financial results in conformity with GAAP and on an adjusted basis. The adjusted results that the company presents today are non-GAAP measures. Discussions of these non-GAAP measures and information on reconciliations of them to their most comparable GAAP measures are included in today's press release and related schedules, which are available in the Investors section of the company's website at investors.vince.com. 
 Following today's remarks, there will be no question-and-answer session. Now I'll turn the call over to Dave. Dave? 
David Stefko: Thank you, Caitlin, and thank you, everyone, for joining us this morning. I am pleased to be speaking with you once again since retiring as CFO earlier in 2023 as a member of the Board of Directors, I have remained focused and engaged on the progress the teams have been making in positioning Vince for long-term success. 
 While the Board is actively looking for our permanent CEO, I am committed to leading the company through this transition, while we continue to execute our transformation plan and drive improved performance, including building on the progress we have made this year and the reenergized focus in enhancing our growth initiatives, including driving customer acquisition. 
 Now let me turn to review our full year and fourth quarter highlights and progress against our initiatives. As previously discussed, fiscal 2023 was a transformative year for Vince. We completed the wind down of the Rebecca Taylor business, entered into a strategic partnership with Authentic Brands, successfully refinanced our credit facilities, and launched our transformation plan aimed at delivering over $30 million in cost savings over the next 3 years to help mitigate royalty fees now incurred in our go-forward operating model. 
 In addition, we maintained a very disciplined approach to inventory management and prioritize driving a healthier full-price business. While some of the actions we had taken in mid- to late 2023 hindered our top line growth, particularly as we decreased our promotional activity and pulled back on our off-price wholesale business, as reflected in our fourth quarter results, we are pleased to have delivered on our profitability objectives for the fourth quarter and fiscal 2023 as evidenced by the strong operating margin expansion in both periods despite incurring royalty fees that we did not incur in the prior year period. 
 As we enter fiscal 2024, we believe we are now better positioned to execute our initiatives and focus on capitalizing on the growth opportunities we see ahead. As discussed on our last call, we are very pleased with the enhancements we made to our e-commerce site for holiday season. While stores continue to outperform e-commerce, we saw nice strength in our holiday gifting pages and are incorporating learnings from the changes we made in 2023 to our plans for 2024. 
 In addition, we continue to leverage the capabilities from our customer data platform and are now able to provide our store associates with more consistent information to support their customer engagement efforts to help drive traffic and conversion. 
 Looking ahead, we are continuing to explore ways to leverage the data we now have to increase our customer lifetime value to drive further loyalty with our top customers and to enhance our customer acquisition efforts. We look forward to sharing more on our marketing and customer engagement plans as the year progresses. 
 Part of our customer acquisition strategy is through our own doors. We continue to value our store channel for the opportunities it creates in welcoming new customers to the brand. As discussed in prior calls, we are taking a measured approach to store growth as we stay focused on more near-term opportunities in driving profitability while maintaining disciplined expense management. 
 In fiscal 2023, we closed 2 full-price locations and 2 outlet stores. But over time, we strive to be in a position to expand our fleet domestically. With respect to international,  similar to our store plans, we are taking a measured approach to further expansion and are evaluating next steps with certain markets, which we plan to provide an update on when appropriate. 
 We continue to see a long runway of opportunity to expand Vince brand in both Europe and Asia. Turning next to our focus on growing our men's business. During the fourth quarter, we continued to see nice reception to our assortment and saw an elongated season in our core sweater business while identifying opportunities within our bottoms program. 
 We are particularly pleased that Nordstrom is planning to expand our men's presence and Vince will be a dual-gender brand in all Nordstrom doors for the coming fall season. Finally, with respect to our transformation plan, we remain on track with our plans to improve our gross margin profile and drive cost efficiencies to offset the ABG royalty expenses we now incur. 
 As John will discuss, while we expect Q1 top line results to reflect trends similar to what we saw in Q4 as we remain focused on driving profitability through lower promotions and a pullback in the off-price channel, we believe for the year, we will continue to achieve strong year-over-year margin improvement. 
 I want to thank all of our teams for their continued hard work and dedication over the past year. Through their work and with the actions we have taken, we have strengthened our foundation, and we believe are better positioned to drive long-term profitable growth. 
 I'll now turn it over to John. 
John Szczepanski: Thank you, Dave, and good morning, everyone. As Dave discussed, we are pleased to have delivered on our profitability objectives for the full year, supported by a strong gross margin expansion as we focused on our higher-margin Vince brand business, maintain disciplined inventory management, and drove a healthier full-price business while also incurring royalty fees beginning earlier this year with the closing of our transaction with Authentic. 
 While sales came in slightly lower than planned in Q4 as we maintain our promotional stance in a highly promotional period for retail while also balancing tightly managed inventories across DTC and wholesale, we are pleased with the improvement in operating margin we delivered. 
 Before I review our results in detail, as a reminder, fourth quarter and full year 2023 included a 14th and 53rd week, respectively, which represented approximately $2.2 million in sales and $0.4 million in operating loss. All results reported today are inclusive of this 53rd week impact. 
 Turning now to our results in more detail. Total company net sales for the fourth quarter decreased 17.5% to $75.3 million compared to $91.3 million in the fourth quarter of fiscal 2022. 
 The year-over-year decline was driven by the completion of the previously announced wind down of the Rebecca Taylor business which delivered net sales of $11 million in the prior year period and a 6.3% decline in Vince brand sales compared to fiscal 2022. The Vince brand net sales decrease was driven by year-over-year declines in both our wholesale and direct-to-consumer segments. 
 As I mentioned, our top line performance was impacted by the strategic decision to maintain a disciplined promotional cadence despite the increased promotional activity across retail, the pullback in our off-price business within our wholesale channel and tightly managed inventory balances driven by more conservative buys for current season inventory. 
 Gross profit in the fourth quarter was $34.2 million or 45.4% of net sales. This compares to $36.2 million or 39.6% of net sales in the fourth quarter of last year. The increase in gross margin rate was driven by approximately 790 basis points related to lower promotional activity and approximately 190 basis points related to the wind down of the Rebecca Taylor business, which historically operated at lower overall gross margins. 
 These factors were partially offset by approximately 430 basis points of royalty expenses associated with the licensing agreement with Authentic Brands Group. Selling, general and administrative expenses in the quarter were $35.8 million or 47.6% of net sales as compared to $42.3 million or 46.3% of net sales for the fourth quarter of last year. 
 The decrease in SG&A dollars was primarily driven by the wind down of the Rebecca Taylor business resulting in a $5.6 million net expense favorability in the fourth quarter of fiscal 2023 as well as lower expenses in the Vince business related to product development, staffing and marketing. These lower costs were partially offset by an increase in rent and occupancy costs as well as transformation-related consulting costs. Operating loss for the fourth quarter was $1.7 million compared to an operating loss of $5.5 million in the same period last year. 
 Net interest expense for the fourth quarter decreased to $1.7 million compared to $3.7 million in the prior year. The decrease was driven by the year-over-year reduction in debt given the previously announced refinancing actions we took earlier this year. 
 Income tax expense for the fourth quarter was $1.9 million, primarily driven by the equity method investment naked credit, which we detailed in today's press release. The tax expense in the fourth quarter of fiscal 2023 compares to an income tax expense of $1.7 million in the same period last year. 
 Net loss for the fourth quarter was $4.7 million or a $0.37 loss per share compared to a net loss of $11 million or an $0.89 loss per share in the fourth quarter last year. With respect to our full year performance,  we delivered total company net sales of $292.9 million for the year ended February 3, 2024, compared to $357.4 million in the prior year period which included a $38.3 million of Rebecca Taylor and Parker combined net sales. 
 In addition, for the year ended February 3, 2024, we delivered income from operations of $31.6 million compared to a loss from operations of $25.4 million in the prior year. The fiscal 2023 period includes the following onetime nonrecurring items, a $32.8 million benefit from the Vince IP and Parker IP sale gains, and $5.2 million in transaction expenses that were not incurred in the prior year period. The income tax benefit for the full year was $3.5 million. 
 Net income for the full year was $25.4 million or $2.04 per share compared to a net loss of $38.3 million or $3.14 loss per share last year. Adjusted net loss for the full year of fiscal 2023, excluding the onetime items reviewed was $7.7 million or a loss per share of $0.62. 
 Moving to the balance sheet. Net inventory was $58.8 million at the end of the fourth quarter as compared to $90 million at the end of the fourth quarter last year. The year-over-year decrease in inventory was primarily driven by the normalization of inventory within Vince as we sold through higher levels of inventory from the prior year and rebalanced our inventory purchases for the current season. 
 As we entered fiscal 2024, we feel comfortable with our current inventory balances, and we'll maintain a disciplined approach as we invest back into inventory to help support the growth we see especially in the back half of the year with our key selling season. We expect inventory for fiscal 2024 to be relatively flat to fiscal 2023. 
 Before I turn to outlook, let me provide some additional color on our transformation plan. As we previously announced, we have initiated a transformation program, which will help to offset the royalty fees we now incur, and we are targeting $10 million per year in savings over the course of 3 years. About half of the savings are expected to come from product cost efficiencies with no compromises to quality, with the balance driven by targeted initiatives to improve pricing and promotions and reduce operating expenses. 
 As we begin fiscal 2024, the benefits are materializing according to plan, giving us confidence in the achievement of our year 1 transformation goal. 
 Turning now to our outlook. As a reminder, given the timing of the completion of the Authentic transaction in May 2023, the year-over-year comparison in the first half of fiscal 2024 will be negatively impacted by the royalty fees now incurred in the business that were not incurred through May 2023.  For Q1 fiscal 2024, we expect total net sales to decline in the high single-digit range compared to the prior year period as we continue to focus on driving improved profitability through a pullback in the off-price wholesale business and promotional activity. 
 Given the negative impact of approximately 400 basis points from royalty fees expected in Q1 fiscal 2024 that did not occur in Q1 fiscal 2023, we expect operating margin to decline 400 to 375 basis points versus the prior year adjusted operating margin. 
 We expect operating margin performance to be positively driven by favorable full price mix, lower promotions and the impact of our transformation initiatives, offset by expense favorability from last year due to the wind down activity with Rebecca Taylor as well as wage inflation. 
 With respect to our full year fiscal 2024 outlook,  we expect total net sales to grow in the low single digits compared to fiscal 2023. We expect trends to improve as we move through the year as we normalize shipments to our wholesale partners to better meet demand in that channel, including the expansion of our business in Nordstrom, which Dave reviewed and as we capitalize on our key fall and winter selling season. 
 For the year,  we expect operating margin to be flat to up 25 basis points compared to fiscal 2023 adjusted operating margin. We expect the impact of royalty fees through May 2024, which were not incurred in the comparable fiscal 2023 period to impact operating margin performance by approximately 150 basis points. 
 This concludes our remarks. Thank you for joining us this morning. 
Operator: Ladies and gentlemen, I would like to thank you all for joining today's call. Have a great rest of your day. You may now disconnect your lines.